Operator: Ladies and gentlemen, welcome to the Big Lots Fourth Quarter 2013 Teleconference. This call is being recorded. During this session all lines will be muted until the question-and-answer portion of the call. (Operator Instructions). At this time, I’d like to introduce today’s first speaker, Andy Regrut, Director of Investor Relations.
Andy Regrut: Thanks, Kerry, and thank you everyone, for joining us for our fourth quarter conference call. With me here today in Columbus are David Campisi, our CEO and President; and Tim Johnson, Executive Vice President, Chief Financial Officer. Before we get started, I would like to remind you that any forward-looking statements we make on today’s call involve risks and uncertainties, and are subject to our Safe Harbor Provisions as stated in our press release and our SEC filings, and that actual results can differ materially from those described in our forward-looking statements. For the fourth quarter of fiscal 2013 our results include the deferred tax benefit of $23.9 million or $0.41 per diluted share related to our loss on investment in our Canadian operations. Also as expected our wholesale operations closed in the fourth quarter of fiscal 2013, and are now reported as discontinued operations for both 2013 as well as prior years which have been recast for this change. Reconciliations of GAAP to non-GAAP adjusted earnings for both this year and last year are available in today’s press release. All commentary today is focused on adjusted non GAAP results from continuing operations which excludes both of these items. One other item to mention starting in the fourth quarter of fiscal 2013, we realigned our merchandized organization and the corresponding reporting structure. We will now report results for food, consumables, seasonal, soft home, hard home, electronics and accessories and furniture which now includes home decor and finance. These changes will be reflected in today’s commentary and in our Form 10-K to be filed in early April. With that, I will now turn the call over to TJ.
Tim Johnson: Thanks, Andy and good morning everyone. For the fourth quarter of fiscal 2013 U.S. comparable store sales decreased 3% which was consistent with our guidance previously provided on December 5, 2013. For the consolidated company, net sales for the 13 week fourth quarter of fiscal 2013 were $1.636 billion, a decrease of 6% compared to last year’s 14 week period. For the consolidated company, income from continuing operations was $81 million or $1.39 per diluted share compared to consolidated income from continuing operations of $120.1 million or $2.08 per diluted share last year. As a reminder, we estimated the impact of the extra week last year to be approximately $0.05 per diluted share. As Andy highlighted, we recognized the tax benefit of approximately $24 million or $0.41 per diluted share in Q4. You may recall on our last call, we mentioned the potential of tax savings related to the loss of our Canadian investment. The benefit will result in lower cash tax payments in future quarters or years. In our view, the most relevant measure for investors to understand is U.S. ongoing operations without this tax benefit. In other words, without this benefit how was Q4? The answer is we delivered on our guidance and did what we said we would do in a very difficult environment. For continuing U.S. operations sales for the fourth quarter fiscal 2013 were $1.572 billion, a decrease of 7.3% compared to the $1.696 billion we reported for the fourth quarter of last year which as I mentioned did include an extra week of selling. Comparable store sales which are the more representative measurement of performance in this timeframe decreased 3%, again in line with our guidance of a low to mid single-digit decline. Adjusted income from continuing U.S. operation which excludes the tax benefit I mentioned, totaled $84.1 million or $1.45 per diluted share, again in line with our guidance. This compares to $119.9 million or $2.80 per diluted share last year. For Q4, the operating profit rate was 8.6% compared to last year's rate of 11.6%. The decline in rate was driven by lower comps, a lower gross margin rate and expense deleverage. Our gross margin rate for the quarter was 38.8%, down 100 basis points to last year. As expected the rate decline was the result of higher markdowns, fairly evenly split between seasonally-sensitive merchandise and incremental markdowns associated with the beginning of the exit process for certain businesses as part of our edit-to-amplify merchandizing strategy. Total expense dollars were $475 million, a $3 million decline compared to last year. However, our expense rate increased to 30.2%. Expense deleverage came from higher depreciation expense higher occupancy cost and the deleveraging impact of a negative 3% comp has on certain fixed expenses. Interest expense was essentially flat to last year and fourth quarter adjusted tax rate of 37.3% compared to last year’s 38.5%. During the fourth quarter we opened 3 new stores in the U.S. and closed 35 stores leaving us with 1,493 stores and total selling square footage of $32.7 million. In Canada for the quarter our net loss was $27 million or $0.47 per diluted share compared to our guidance of $0.65 to $0.75 loss per diluted share. Overall we were pleased with sales and merchandise and liquidation mode as our sell-through and recovery rate was right on our forecast. The favorability to our guidance was expense driven as the Canada team managed operating expenses very well in a difficult situation. Additionally, certain wind-down expenses will be recognized in Q1 rather than in Q4, so timing also played a role. Moving on to the balance sheet; inventory on a consolidated basis ended the fourth quarter of fiscal 2013 at $915 million, compared to $918 million last year. The change in inventory was driven by a decline in Canadian inventory as part of the wind down of the business, this decline was partially offset by an increase in inventory per store in our U.S. stores. For the full year fiscal 2013, total CapEx was $105 million compared $131 million last year. And depreciation expense was $115 million an increase of $9 million to last year. Cash flow defined as cash provided by operating activities less cash used in investing activities was $101 million for the fiscal ‘13 for the consolidated company. The consolidated company ended the year with $69 million of cash and cash equivalents and $77 million in borrowings under our credit facilities, this compared to $61 million of cash and cash equivalents and $171 million of borrowings under our facility last year. Our use of cash generated by our U.S. operations during last 12 months has been focused on repaying debt. We ended the year with 57.5 million shares outstanding. With that I’ll turn the call over to David.
David Campisi: Thanks TJ and good morning everyone. I’m sure I’m not the first to tell you that retail sales were difficult during the fourth quarter and the holiday season. For all the reasons you have already heard ranging from weather to a stress consumer to the compressed retail calendar with fewer shopping days between Thanksgiving and Christmas. And I’m going to tell you, all those factors are real and do impact consumer behavior. With that as a backdrop, we were pleased to be able to deliver on our guidance and our actual comps were what we told you they were going to be. Comps were down three, but more importantly after a very difficult November comps turned positive in December and were flat in January. We may recall back in December TJ gave you a very similar trajectory in our guidance and we delivered it. I am encouraged that this trend has continued into the month of February with some of the same external challenges impacting, potentially impacting sales. There were several positive signs in our business in Q4 which should only grow in importance as we move to 2014. Specifically I am encouraged by food and consumables for the second quarter, consecutive quarter we saw our strongest comps in two of our biggest businesses as both food and consumables [comped] up mid single-digits. The team delivered better merchandise content, improvement of in-stocks on our key classifications and more consistency of [full] product has established. And Jennifer has responded positively to our efforts. Along this same category line, we are actively rolling out our cooler/freezer program and intend to hit approximately 600 additional stores in full year ‘14 which will leave us with a little over 700 stores by the end of the year. Over the last several months in our test stores which had cooler/freezers and SNAP eligible, we experienced an incremental sales lift in low single-digit range to the total store. This strategy is one example of how we are actively taking down barriers to customers shopping our store more often and more importantly, more consistently. So, I am very bullish on our future prospects in food and consumables. Next is furniture. Even though comps were up slightly in our traditional furniture business, I was pleased with our overall merchandise content and specifically in regions of the country with normal weather patterns, our furniture business was positive. Strategically, this category is very important to our success. And I am confident we have strong content and inventory is well positioned to maximize on the tax time selling period of first quarter. As we look to 2014, the business will be engaged in rolling out furniture financing program to a majority of our stores. We have tested this concept for over six months now and have consistently experienced high single to low double-digit increases in furniture sales at the store level. This is very, very encouraging. Our rollout schedule reached approximately 1,300 stores or over 85% of our store base and we completed by the end of third quarter. Again, this program enables us to take down a barrier to a customer segment that relies heavily on this type of service and a financing vehicle to furniture home. If they are not getting this type of liquidity at Big Lots, they are shopping elsewhere, so again another customer barrier in. Looking at our home business, as Andy mentioned earlier, we restructured our buying teams, and how we go to market. And this change will ultimately help us better merchandize the store. One of the significant changes of breaking a partner home business into soft home and hard home which is critical because the different merchant skill set is needed to be successful in buying this category. Specifically in Q4, we started to see some early signs of improving performance in soft home or the more fashion side of the house. And that has continued over into February. Hard home was a little more challenged in the fourth quarter and could be, as we continue into spring. This category is challenged due to the certain exit businesses which we used to -- which used to reside in the hard line’s area, categories like tools and paints et cetera which now reside in hard home. Next is seasonal, Christmas trim had a tough season in Q4, particularly in some of the outdoor decor and lighting. Here I believe we had very good content, but difficult November sales and weather made it tough to rebound with the compressed calendar. December and January comps were positive in trim, but were not enough to make up the large volume for November. And we were forced to be more promotional than we originally planned. Strategically, this category is key with Jennifer and is a major reason, she shops us. After spending over a week in Asia, looking at many of the spring and fall programs in seasonal, and visiting several of our major vendors and spending time with our merchants, I have a high level of confidence in our assortments and the merchant teams that are running this category. The last major category under new alignment is electronics and accessories. Electronics in particular was very difficult for retail in Q4 and our results were further challenged by parts of the business we are down trending or exiting, namely cameras; GPS; gaming and some others. From an accessory standpoint, this category includes merchandise such as apparel; lingerie; luggage, infant hosiery and other smaller classifications. Overall, the electronics and accessories category will be downsized during full year 2014 to focus on those need use, buy most classifications and a certain level of selling space will be reallocated to other categories which are higher on Jennifer’s shopping list. One last comment on Q4 and merchandise and then I’ll let T.J. talk to you about 2014 guidance. We have talked at length about our edit-to-amplify strategy. And I want you to understand this strategic shift is all about Jennifer. We are listening to her what she wants from us, what is top of mind for her as she shops our stores. And we are taking that information and building our merchandising strategy around her. As a result, we are editing several classifications; and there is a cost associated with doing so, in our view a necessary cost in order to amplify our business for the future. The classifications we are editing represent 5% of our total business that are less productive and not top of mind with her, she doesn’t wake up in the morning and say, I need to go to Big Lots to buy a kitchen faucet or a TV or paint my leaving room. She thinks of us for great prices and brands and food and consumables, high quality seasonal product, fashionable selection and affordable prices in furniture and she wants to decorate her home from our store and we intend to reshape our efforts to meet her needs. And now I’d like to turn the call back over to T.J.
Tim Johnson: Thanks David. Let me start with a reminder that given all the stores in DCs and Canada are now closed, our Canadian segment will be reported as discontinued operations starting in the first quarter of fiscal 2014 and all comparisons for 2013 will be recast and presented as DO. Also as noted in today’s press release, our Board of Directors approved the share repurchase program providing for the repurchase of up to a $125 million of our common stock. We have incorporated the expected impact of the share repurchases in our outlook for 2014 which I’ll cover in a moment. In terms of first quarter guidance, we estimate the income from continuing operations to be in the range of $0.40 to $0.45 per diluted share compared to adjusted income from continuing operations of $0.70 per diluted share last year. Comp store sales are expected to be in the range of slightly positive to slightly negative. The gross margin rate for the first quarter of fiscal 2014 is expected to be lower than last year which is predominantly related to markdowns associated with our edit-to-amplify strategy in the exit categories. This activity is consistent with our prior comments to you in December and we continue to see this activity lasting through Q2 of fiscal ‘14. Our expense rate in Q1 is also anticipated to be above last year due to higher depreciation expense, higher incentive related costs and higher payroll in our stores as we mark down exit categories and deliver new product to re-merchandise areas of the store. In terms of our annual guidance for 2014, comparable stores sales are expected in the range of flat to up 2% with total sales expected to be flattish to slightly down for the year correlating with the lower expected store count. The gross margin rate for 2014 is expected to be higher than last year driven by low -- forecasted lower mark downs. Expenses as a percent of sales are expected to increase slightly in this model with leverage in store payroll and distribution transportation costs offset by higher depreciation, healthcare and compensation expenses. You may recall our 2013 operating profit was below plan for most of the year, resulting in lower bonus and equity compensation-related expense. Excluding bonus, we estimate our expense leverage point for 2014 to be approximately of 1% comp. Additionally, we have begun to invest in our e-commerce team in capabilities for a launch some time in fiscal ‘15. The investment in -ecommerce in fiscal 2014 is estimated to be approximately $5 million in expense and approximately $15 million in CapEx. Filling out the rest of the U.S. P&L for fiscal 2014, we expect net interest expense of approximately $3 million and the effective income tax rate is estimated at 39%. Income from continuing U.S. operations is expected to be in the range of $2.25 and $2.45 per diluted share compared to adjusted income from continuing U.S. operations of $2.45 per diluted share in fiscal 2013. We expect this level of financial performance will result in U.S. fee cash flow of approximately $165 million, partially offset by approximately $25 million for the wind down of our Canada operations for a consolidated cash flow estimate of $140 million. The average diluted share count is forecasted to be approximately 54 million to 55 million shares for fiscal 2014. For the year capital expenditures in the U.S. are expected to be approximately $115 million to $120 million. Maintenance capital is estimated to be about $35 million, which covers our stores, DCs and the general office. New store capital is estimated at approximately $20 million for opening 30 new stores. Of the 30 new stores, over half of those new stores will actually be relocations. We also intend to close approximately 50 stores in the U.S. Investments in certain other strategic initiatives will represent approximately $60 million of CapEx in 2014. These dollars will be focused on the roll out of our coolers and freezers to approximately 600 stores. Investments in e-commerce and the beginning of a new POS register refresh program beginning in the second half of 2014. Depreciation expense for fiscal 2014 is forecasted at approximately $120 million against $130 million in 2013. As our guidance indicates, we are in a transition period in the first half of 2014 as we implement and embrace our new edit to amplify merchandizing strategy. We are marking down exit classifications, delivering amplify merchandise and focusing on the roll out schedules of coolers and furniture financing. So there is a significant amount of work and activity occurring to build on sales momentum through the next several months; and our plans and guidance reflect accelerating trends for the balance of the year. More importantly, as David mentioned, our efforts in repositioning are based on tested initiatives and specific tailoring of assortments to meet Jennifer’s stated needs and desires from our store. For these reasons and many more David will touch on here in a moment, we believe we have a wonderful opportunity to restore sales growth not only in 2014, but in future years on a more consistent basis, which leads us to our conversation on the SPP or strategic planning process which our team has been working on almost since David’s arrival in May. Our goal is to have a finalized buttoned up plan by the summer and host an Analyst Investor Day here in Columbus, likely in the June timeframe. And while we are not complete in our strategies and implementation plans, we want to share with you what we believe we know at this point. Over the SPP period, we are targeting a low single-digit comp, improvements in gross margin, lowering our expense leverage point back down to a flattish comp, thus expanding on operating margin. We believe a target over 6% by 2016 is an achievable goal for our retail operations. From a sales perspective, we know $156 per foot we earned last year is too low and moving in the wrong direction. Over the SPP period, our goal will be to approach $165 to $170 per foot, which would reach or exceed our historic peak productivity. David will highlight some of those reasons; we believe this is what the businesses own over the next three years. In terms of the gross margin rate, expansion of coolers and freezers and strengthen in our food and consumables business could possibly be a headwind. However, we believe improvements in some of our higher margin businesses such as seasonal and particularly the home, which has underperformed the market, provides us an opportunity. Additionally, editing unproductive categories and leveraging our markdown spend more efficiently across the store should aid in our efforts to grow the gross margin rate. Focusing on expenses for a moment, we know 2014 is somewhat of a transition year from an expense standpoint, meaning in certain areas of our business such as merchandising, planning, e-commerce and others. We are investing today for future benefits. Having said that, 1% comp to leverage SG&A, ex-bonus is a pretty admirable start. But we believe it should be a constant goal and focus to keep the leverage point closer to flat. Tall task and as such we have drafted a team whose sole focus will be expense efficiency, cross functionally across our business. This level of performance from a model perspective gets you back to 6% plus operating margin for our retail operations. I would expect this model would generate cash flows similar to 2014’s U.S. estimate of a $165 million and more per year, a high cash model particularly in relationship to today’s multiples and market cap. This is only meant to be a high level overview of what we anticipate covering in more detail this summer. David?
David Campisi: Thanks TJ. This week marks my 10th month on the job. And I have to say, I am more excited today about the opportunity to drive meaningful sales and profit growth than even when I first started. In a very short period of time, we have created a mission statement, a vision for the future, and value statements all associates are expected to model. Our organization was thirsty for this type of strategic direction. Second, we are in the final stages of our SPP designed to drive performance over the next three years focusing on the overarching objectives of Jennifer, our associates and our shareholders. In order to focus more on Jennifer for the sales portion of the model, we have assembled mostly a new leadership team who clearly understands that top-line growth, consistency of results and execution has to be a top priority. In terms of merchandizing, I mentioned on our last call the level and extent of new leadership we had attracted to the business. Working with their partners and merchandise planning, we are already seeing more consistency in our sales and product flow; and the quality, brand, fashion and value are now requirements each merchant measures in advance of the buy. Additionally, particularly in our fashion businesses, understanding where product is on a customer demand curve will help us limit our exposure and drive the top-line sales. Key initiatives such as our cooler roll out, furniture financing, the reallocation of floor space and not trying to be everything to everyone will have a positive impact on sales and consistency. How we source our goods and from whom is a high priority. Closeouts are our heritage and a key part of our merchandizing strategy; I want to be clear on this point. Based on my experiences and interactions with the vendor community, some of whom we do business with and some of whom we don’t, I believe improving our vendor relationships and becoming more meaningful to a more selected vendor base is critical to improve the consistency and quality of goods we source and ultimately Jennifer’s experience in our stores. In marketing, simplifying everything we do so as to focus on Jennifer, we are driving for a change and focus in the social media space as evidenced by our recent launch of hashtag, the ThriftIsBack around the launch of what was previously the Hostess Thrift Store business. A small example of what we see as the opportunity to build our brand socially with Jennifer and allow her to share more about Big Lots with her friends and followers. This is a totally new approach for Big, incremental activity to anything we have done in the past, and again aimed at more consistency with our customer base. We have hired new creative agency which not only helped us on the thrift launch, but has partnered with our team to put together some pretty powerful media content for TV this spring. I’m really looking forward to using the new program and how it puts Big in a different light with our customer. Our ad circulars have gone through a process we call ECRS; eliminate, combine, rearrange and simplify with the goal of making our ads easier to shop and more conducive to driving traffic and conversion in our stores. The final element of our strategy to support Jennifer is our desire to move swiftly into an appropriate e-commerce and omnichannel strategy. We know we are behind of retail, we know these capabilities of customer engagement and sales opportunity, and most importantly we know Jennifer would and wants to buy online. We know she would welcome an opportunity to buy online from existing or expanded assortment and pickup that product in our stores. It is not an if, it’s a when. And right now we believe e-commerce is an initiative for sometime in ‘15. We're in week three of our design phase with an external expertise helping to drive the process. We know it's our commitment this year as TJ mentioned and likely an investment in 2015 as well but not necessarily of the same magnitude. Stay tuned. We think this is a big breakthrough for our brand and our customer. Lastly, throughout my retail career of managing and growing companies, I have found the key to success always comes down to one thing, people. I would like to thank our associates in the field, in the distribution centers and our corporate offices for all their hard work and dedication throughout the quarter. Our team is excited and has fully embraced the new laser focus on Jennifer. We are viewing our business through our eyes and have started to implement processes for consistent execution. It's not business as usual here at Big Lots. This is just the start. We're at the beginning of the beginning. So with that, I'll turn the call back over to Andy.
Andy Regrut: Thanks, David. Kerry, we would now like to open the lines for question at this time. 
Operator: Certainly. (Operator Instructions). And we will take our first question from Paul Trussell with Deutsche Bank.
Paul Trussell - Deutsche Bank: Hi good morning guys. Want to start off asking a question about the top-line I appreciate the color on what you are seeing when you rollout the furniture financing, I am hoping you can just give us a little bit more detail about exactly how that works when you roll it out on the store just kind of help us understand the process? And then if you can give similar color on the cooler rollout and what you have seen in those 100 plus stores to-date in terms of the lift to your food business and how quickly you are able to attract that EBT customer? Thank you.
Tim Johnson: Yes Paul this is TJ. I will start and David can certainly chime in here. From a furniture financing perspective as we mentioned in our prepared comments we had a little over 100 stores in test mode for about a six months period. We actually added in the January timeframe another couple of hundred stores to the process just in time for tax time settling which is proving to be a real nice add to business here over the last several weeks. That test results that we mentioned in the 100 stores actually got stronger as we moved into the tax time selling period, not a big surprise I guess but we were very encouraged by that. The rollout period will happen really over the next three to four months where we not only provide training to our associates but we’ll also provide further systemic support from the back office as well as mini laptops in the stores to help process the applications. So we are trying to go above this as quick as can. We know there is an opportunity there, there is a customer out there that’s thirsty for that type of opportunity to shop in our stores, the stores have embraced it, the merchants have done a great job with their planning partners, really getting inventory ready and set in those stores. So we are very excited about that opportunity. I know that we have a couple of notes written in the past few days about the discontinuance of our private label credit card program and candidly that was somewhat coincidental, our provider had kind of put us on notice over the last few months, but that just not have been profitable program for them based on some of the banking requirements that they live under and what they are allowed to accept in our stores. So it was very nice timing that we had furniture financing in the wings to kind of fill the void. So I know there was also some commentary about potential challenge or risk of not having that private label credit card program. I would just tell you, we are not concerned with that. It was a, I will call it an insignificant part of our business, clearly much less than 1% of the total. So, we know we have a bridge here to furniture financing that will more than fill that gap and grow comps in the furniture business. Second part of your question, as it relates to coolers and freezers. There is, it's really amazing, we've had a cross functional group attached to this project for a number of months now and that's merchandising, planning and allocation real estate into sales audit team, finance has been involved and I am sure IT certainly has been involved. And I am sure I am missing a couple. But the business is really rallied behind that test in the stores or just very excited about getting it in their markets. We have had it in a number of markets across the country from Columbus and Detroit to San Diego to Orlando, (inaudible) I believe is one of them and I know there is one I am missing. But across the country, across demographic segments and it’s performing very well almost without exception. So, we're very excited about that opportunity. Paul we put that coolers in the stores and we start selling the product right away, there is a waiting period that we have to go through, before we can get formal certification to accept the EBT and SNAP and then once we get that approval, business picks and another notch up as that customer starts to use our stores in that way. So, it's really going to win across the stores, across the customer types, across demographics and across the country. So, the food and consumables team is anxious to get that rolled out as the rest of us are. There is a hallow effect that comes along with putting in coolers and freezers. And I'll tell you the hallow effect is primarily [introduced] because again that's where the EBT and SNAP benefits can be used. But there are other parts of the store that see a slight benefit as well. So, again for us to have two tested known comp drivers to roll out this year is a pretty big deal, we're excited.
Paul Trussell - Deutsche Bank: That's very helpful color. I have just one question on margins then I'll pass it on. Just with the edit-to-amplify strategy. Could you at all quantify the impact to gross margins in the first half that is attributed to that edit-to-amplify roll out? And then just kind of bigger picture, as you think about 6% EBIT margins by 2016 does that include gross margins going back to 40% or above? Thank you.
Tim Johnson: Sure Paul. It's difficult for me to quantify for you to a number on edit-to-amplify and exit because again a lot has to go right in terms of the sell through of that product over the next few weeks. What I would tell you I would say that back to fourth quarter if you look at the margin rate declined that we experienced, roughly half of that was associated with edit-to-amplify in just the fourth quarter so half of that or 50 basis points of the decline to last year within those categories. As you look forward particularly in the first quarter I would suggest to you it’s that much if not a little bit more as we take not only second markdowns on the Q4 stuff, but start to take first markdowns on the balance of the categories. So it is significant to the fourth quarter, it was and it is significant to the first quarter. Again hopefully our sell-through continues to do well and the impact is less than that in the second quarter. Speaking longer-term I don’t want to commit to a specific margin rate I would tell you that we clearly understand that coolers and freezers and the success that we have had in food and consumables over the last few months we absolutely want that to continue, we know those are food stuffs. We know our pressures margins, we also know in other categories where we have not performed as consistently we need to. And those are some of our higher margin categories. Additionally, what I would tell you is the focus on inventory turnover and to use David’s phrase, some of the quality brand fashion value and really taking a harder look at the buy upfront absolutely should have some positive impact on margins as well. So the model and the 6% is not [beholdent] on getting back to 40% or above. It’s about driving productivity through the box, keeping our expense structure lean and just growing margins ever so slightly over time.
Paul Trussell - Deutsche Bank: Appreciate it. Thank you. 
Operator: We’ll move now to Meredith Adler with Barclays.
Meredith Adler - Barclays: Thanks so much, congratulations TJ on the promotion. I have, my question is probably follow-on on Paul’s questions a little bit, you have mentioned that above 5% of the sales was products that you don’t think Jennifer wants to buy, but how much of the space in the store is dedicated for those products? That’s my first question.
Tim Johnson: Yes that’s a good question. I would tell you and you know our stores very well, our store types in sizes and shapes and everything else vary quite a bit. If you think about some of the categories that we’re exiting though with hard lines and some of the bigger ticket electronics as an example, those content to be some good size products maybe, a little bulkier than some of the smaller consumables. So I don’t have a specific answer for you Meredith, but if I would have (inaudible) to guess, I would say it is probably 5% or slightly more. Again it’s the less productive parts of the store. I think the challenge for us over the next few months, which we are up to is replacing that volume. Again we might not have been happy with the performance, but there was absolutely some sales that we’ve got to replace and merchants have a long list of ideas and we are going to work that into the store over the next few months.
Meredith Adler - Barclays: Okay. And then another question I have is about inventory. I mean, you mentioned that inventory for store was up, although you clearly more [toward] the mark down strictly seasonal merchandise. But maybe you could just talk a little bit about, you didn’t say how much inventory per store was up. And is there anything, I mean you are going to do a lot work to get rid of the merchandise you want, but is there stuff, is there excess of things what might be considered ongoing inventory?
David Campisi: Yes Meredith, I would tell you that the biggest investment we put into inventory in the fourth quarter was in the food and consumables area; and it’s paying off very, very well. And that’s really the only area where we invested heavily; as we moved into Q1, we continue to do that. Outside of that, we came out of the year fairly clean in the Christmas trim business and we made some decisions to invest in some other areas of the business. We are starting to see, as I said on the call, some signs of life in the fashion side, the soft side of home. And honestly, there is a few businesses in the hard side too, the tabletop business and the gadget business; and those categories are starting to performance very well. So we are investing in there. But I don’t have any concerns on an inventory per store basis based on how quickly we are moving through the food, business is really, really rocking right now. So, I would tell you this though, overall as a company, it’s a focus of ours to improve our turnover and the merchants are very clear on what they need to do. And I think it’s really hard to explain this quality brand fashion value component that was never used in the merchant world. What that’s going to do is truly force our buyers to make whether it’s a close out or an in and out, or a never out. The never out obviously goes through a serious level of skew rationalization and happens to turn faster than the other two outs. But what this is going to do is force us to stop buying things that don’t sell even in the areas that we believe in, we wanted to have a very high rating on quality and brand and fashion in those areas. And the merchants are embracing that. And I think what that’s going to turn into is a faster turn in a higher sales per square foot model.
Tim Johnson: Yes. Adding onto what David just mentioned, Meredith, and to specifically answer your question, inventory in U.S. per store -- U.S. stores per store was up about 4% at the end of the quarter. Again the bulk of that increase is in food and consumables. And candidly, you probably see that a little bit in terms of our [AT] leverage which is down slightly and the cash flow number, which was a little bit below our original guidance. So, the timing of inventory flow and the terms on food and consumables are different than some of our longer lead time categories, so all that walks together. And as David mentioned, the food and consumables part of our business for the second quarter and well in fourth quarter, and not to put too much pressure on it, but in the first quarter, they’re absolutely expected to lead the store. So, we are comfortable with how, what’s kind of mixed out coming into the New Year.
Meredith Adler - Barclays: That’s wonderfully helpful. Thank you. And then I just have one very quick question. In the stores where you furniture financing, would you say that the customer is buying mostly simple things like mattresses or do you feel like they are shopping a wider variety of products in that department?
David Campisi: Yes. Meredith, currently in kind of the test phase; and until we complete the roll out of this, the furniture financing opportunity is only available in upholstery, mattresses and case goods, which is essentially bedroom and dining and with fire places during that Q4 timeframe. An additional opportunity here [candidly] is as we get the rollout complete and have all the systemic support in place, what we are anxiously awaiting is kind of getting to some of the other categories in the store. So you can kind of picture a scenario that’s okay, if furniture financing is available for upholstery which is 299 or 399, how will customer respond if we make that available later this year towards patio, furniture or when we get into a Christmas timeframe, some of the other larger ticket decorative type pieces that the customer loves in our stores. So, we think potentially as we get the program rolled out and all the systemic support in place, potentially there is an opportunity to look at some of the other bigger ticket categories in the stores as kind of the mix [leg] of this.
Meredith Adler - Barclays: Great, it sounds very exciting. Thank you.
Operator: The next question comes from Matthew Boss from J.P. Morgan.
Matthew Boss - J.P. Morgan: Hey guys, congrats on a nice quarter. On the fix cost hurdle going back to flattish, can you talk about some of the opportunities in the cost structure? I know you outlined some e-commerce cost ahead. Just trying to figure out the flattish fixed cost hurdle and how you get there?
David Campisi: Sure Matt. I think a couple of things, I think you got to look at your biggest numbers first, right, I mean a lot of large numbers when you look at what we’re doing in stores and store payroll in particular. But also that starts way upstream with the merchants and the timing of inventory flow, the value of the cartons we’re delivering, the number of cartons we’re delivering, there is a major initiative underway to say automate, but provide some science behind labor scheduling at store level by day, by hour. In other areas of the business, we haven’t talked a lot about it, but in the 2014 timeframe, we rolled out a new warehouse management system to our [commerce DC] here, we learned a lot, we’ve got three more buildings going online this year. Again, the whole goal of that is improving the productivity in our buildings. So, distribution and transportation absolutely has an opportunity going forward. We look at other areas of the business that we’re starting to get more involved in or more expertise involved in or more technology involved in and think about the asset protection side of our business and how we keep our stores safe and also monitor expense ensuring performance. There is a lot of work going on in the number of different parts in the business map that gave us confidence that there is an opportunity to do better than what we’ve been doing in the last couple of years. So build upon the success to the past with new programs and new initiatives; it’s a major part of the SPP or the strategic planning process. And again there is a cross functional team from across the business that understands; they’ve got a certain goal to hit over the next three years. So, I am very comfortable that the expense side of the business is under control and will be further well under control over the next three years.
Matthew Boss - J.P. Morgan: Great. And then second question, can you talk to the margin profile of furniture financing here as we go forward? What the margin profile in furniture looks like versus today and any details on the Progressive agreement that you could share, I think would be really helpful?
David Campisi: The margin profile, not trying to oversimplify, but it really doesn’t change. This is not a cost to Big Lots or the furniture team. We’re not marking down what we’re selling through the program meaning we’re not giving a discount to Progressive. That was a program we tested at both ways candidly. But the one in one out was whatever we’re selling to a non-Progressive customer in terms of price is what the Progressive customer receives at retail. The financing agreement with Progressive on the backend is between Progressive and the customer, Big Lots is not involved; we don’t care of the paper et cetera. Our results to-date has been very encouraging. And I’m not going to go through the cost structure of it because candidly again, it doesn’t impact our business; that’s between the customer and Progressive. But the most important part for us that is under our private label credit card program, we had less than 20% of our customers were getting approved, so over 80% were getting declined. Today that’s almost tipped upside down the other way. With Progressive, we anticipate somewhere between 60% and 70% of the customers will get approval at point of sale. And candidly that number could get a little bit better, if they have additional information to provide. So that’s really what it’s all about for us Matt. They’ve been a great business partner; they are helping us both from a system standpoint for technology in the store on their dime. And it’s been very good for our customer and the stores love it. It’s generating a significant amount of volume for them, helping them achieve their plans and hopefully, helping them make a whole lot money, more money going forward.
Matthew Boss - J.P. Morgan: Great, congrats.
David Campisi: Thanks.
Operator: (Operator Instructions). At this time, we’ll move to Patrick McKeever with MKM Partners.
Patrick McKeever - MKM Partners: Thanks. Good morning everyone. Okay just one question and I guess just following along with some of the furniture financing questions. You shared some numbers with us back, and I apologize if you already talked about this, but I’ve been doing a little multitasking. But you shed some numbers back in the fall that the average ticket on a furniture sale that was financed under the test program with Progressive was three times higher than non-financed transaction. Did that continue to be the case or has that continued to be the case more recently? And then how much of the category’s sales do you think might be, I guess financed? I mean is it 20%, 25%; what was the number with the private label card understanding that that didn’t have a big impact on the business overall?
Tim Johnson: Yes. Patrick, private label was absolutely not a significant number to the total furniture business on an annual basis or the store’s business on an annual basis. The metrics that we called out early on from test did roll through, meaning the average ticket is still roughly three times what a non-financed transaction looks like. I guess to put it in perspective for everybody, I don’t want you to think that all of a sudden 20% to 25% of our business ends up on this type financing, that’s way, way too high and way, way too aggressive. We are really talking about to move the needle in furniture in a store on a weekly basis. We’re talking about two, three, four transactions on average depending on the store. So again, you are talking about if you think about three or four transactions with an incremental $300 or $400 or $500 that’s what we are talking about here. So, it really is somewhat of a niche business, but clearly is one of the largest furniture retailers in the country. I don’t know if people realize that that we are approaching $1 billion in furniture business when you consider upholstery mattresses, case goods and [RTA] furniture. There is $1 billion at play here and we know that there are customers in the past who’ve gone elsewhere because they need the financing and candidly they didn’t qualify in our stores. So, we are trying to rectify that. We think we’ve got a good program and we are excited about the roll out.
Patrick McKeever - MKM Partners: How…
Tim Johnson: I am sorry, Patrick. Go ahead.
Patrick McKeever - MKM Partners: I was just going to say how aggressive might you be on the marketing side of the program as it’s rolled out across the chain.
Tim Johnson: Again, depending on -- and Patrick I am not sure that we have it in your markets, so you might not be seeing this, but here in Columbus, if you are a buzz club member or you’re in the rewards program, candidly it’s a tagline at the bottom of almost every email I receive anyway. I know we’ve put it in print in certain markets as we’ve been in [touch] mode. So I have full confidence in Andy Stein and his team that when we’re more able to make bigger deal about it as a company, total company wide, we will absolutely do that. Again, we are talking about reaching 1,300 of our roughly 1,500 stores, so we should be able to have a pretty big voice in the marketing of this program.
Patrick McKeever - MKM Partners: Great, thank you.
Operator: We will move now to David Mann with Johnson Rice.
David Mann - Johnson Rice: Yes. Thank you. Good morning. In terms of your real estate strategy, can you talk about the -- relative to the strategic plan, what do you think the longer term opportunities are there, whether you are going to be growing or shrinking? And also, can you talk about what you’re seeing on relocations? Do you expect that number to accelerate as you go forward?
David Campisi: Yes. And David, it’s early, but what I would tell you is over the three year period, I think we will likely open fewer stores than we closed or said another way, probably easier, we’ll close more stores than we open, I’m confident in saying that. Now again, that’s unless someone comes to us with an opportunity for a large number of stores that we just can’t turn down which hasn’t happened but doesn’t mean it couldn’t at some point. But absent that, I think we closed more stores than we opened over the long range plan or over the strategic plan. And I do think that a majority of them will be focused on relocations. That’s where today we have the best hit rate in terms of being successful as being candid. We’ve got an existing customer there and often times we’re moving a mile or two down the road, sometimes the stores are getting bigger, sometimes it’s not. If it’s getting bigger, it’s because now it can accommodate furniture where we still can’t in 100 or 150 stores. So, I think the relocation side of the new store opening equation will likely be at least half if not more. I think that’s good for us. I think that answers your question?
David Mann - Johnson Rice: No, that was very helpful. And then for my follow-up in terms of what you’re doing in the home category, I mean that’s been an area, that’s been, I guess struggled for a while and it seems like that’s going to be a critical towards managing your gross margins. So can you talk a little bit more about how you expect the home business to improve over the next several quarters and some of the factors that you think will drive that?
Tim Johnson: Sure. I’ll take that. As I said earlier in the call, the parts of the home business really performed pretty well in the fourth quarter and we continue to see that improvement as we moved into the month of February and early March. And primarily those are some of the categories like top of bed and the utility part of the business. So both fashion and basic and in some cases running some really, really nice comps on a consistent basis. There has been a huge effort and emphasis put on that. And what we’re working on there again is back to the quality brand fashion value component is really putting in disciplines in there to ensure that we have a very well thought out assortment that’s very tasteful. And I’ve said to you guys many times before, a lot of work has gone into ensuring that we don’t buy ugly and the guys have heard that over and over again. We don’t want to buy closeouts that nobody else wants. It’s a very important part of the strategy, as well as improving our penetration of never outs and in and outs as well. And when you take a look at what we did in hard home which is the other side of it, we believe that we can grow those home categories like cookware, kitchen gadgets, the tabletop categories, dinnerware, flatware. Again, we have a new Divisional Merchandise Manager in there, he is very skilled, very seasoned and a new General Merchandise Manager in the home, as well as furniture. And I think that you will see continuous improvement over the next two to three quarters to the point where that area will start performing very consistently like the other businesses have over the years. And a critical tie-end to furniture, there was a reason why we took Home Décor and the frame side of the business and moved it into furniture, because those two businesses belong together. And again, I can’t overemphasize how siloed we were in these categories of merchandise in our company. And today, along with our stores and the marketing group as we advertise and put things together, we will start to see momentum in that home business. And as you know, it’s a higher margin area. So, we need it to perform to help with the mix. And I am very, very confident in that team that that’s going to happen.
David Mann - Johnson Rice: Great, thank you. Good luck.
Tim Johnson: Thank you.
Operator: At this time we’ll take Jeff Stein with Northcoast Research.
Jeff Stein - Northcoast Research: Good morning guys, a couple of questions. First of all David, wondering if you could just talk about where you think the right inventory turn is for this business and what the appropriate closeout mix for the business is? And then a follow-up for TJ, wondering -- given the fact that you may close more stores than you open over the next couple of years, this would almost suggest to me that your CapEx is going to be kind of flattish to down, generating a lot of free cash flow. Should we expect kind of a re-ramp of your share buyback program over the next several years? Thank you.
David Campisi: I’ll take the first one, Jeff. Obviously I don’t have a number in front of me on the inventory turn, but all I can tell you is it needs to improve and it needs to go up not down and the merchants are signed up to that. And it will take us time to get there, but we believe that that inventory per square foot number that TJ talked about the $1.70 a foot is absolutely doable and achievable and the merchants are focused on that. Your second question on the closeout penetration, again it’s our heritage, it’s very critical, but it varies by business. And I think that’s what’s really important that we talk about. There are categories where we’re 90%. There are categories where we’re 35%; it just depends on the business. So, we have to be very careful when we make a commitment on what that penetration should be. But what’s important is what we buy. So when we worked the deal with Hostess and got the official thrift name and put into our brand and you look at that product that raised some eyebrows. That was a big, big launch and those are the kind of close outs we want to do. When you look at the things that we want to do in the home we want to make sure it hits those three components. There is got to be quality behind that closeout so I don’t put a percentage on any of these businesses because it can move from 30% to 50% and up and down it’s really more of how we manage it. And we don’t turn down closeouts if it fits that criteria and candidly in the consumables area there has been a couple of really, really big ones from one of the big players out there that we are really excited about. So we just continue to focus on those three closeouts in and outs to never outs and we plan the never outs and then the rest of it we really, really manage at a much more again ECR asset quality fashion brand, quality brand fashion value components make a difference in how we go to market. So very difficult to give you a total number but it’s still critical to how we operate the business.
Tim Johnson: Yes, Jeff the last part of your question I think again June is a more appropriate time to answer that when we get all aspects of the strategic plan finalized in front of the Broad and then in front of investors and analysts. I think your first assumption is correct I mean with the new stores they are round about this 30 number or plus or minus over the next couple of years. The CapEx associated to new stores in the next three years will be less than it has been in the last three years I do feel comfortable saying that. But what needs to get fully flushed out in the plan are some of the investments that we want to make in other parts specifically in systems as we talked about for this year some of that translates into next year and also just looking at the overall infrastructure and kind of maintenance of stores and distribution centers as well. So it’s too early to make a call on that but today, I think what we show to our investors and analysts [the part] of the company is with full Board support announcing a share repurchase program today. We are telling you that we do feel more comfortable in where the business is heading than we did three to six to nine months ago. We worked through the strategic plan process enough to know that we are comfortable investing in this year’s cash flow and returning it to shareholders. And we think that that’s appropriate at this time, but it’s difficult to forecast share repurchase and/or potential other activity that can return cash to shareholders in the future.
Jeff Stein - Northcoast Research: Okay. Thanks.
Operator: Your next question comes from Dan Wewer with Raymond James.
Dan Wewer - Raymond James: Good morning. Tim I just want to talk a second about the 6% operating margin goal I recognize are still in the early phase and then planning this, but just about 2009 through 2011 your domestic operating margins were 100 basis points higher than that. And so we think about 2016, I think about or is it possible, why could operating margins for Big Lots not get back to that as those historic life time highs?
Tim Johnson: Dan, I don’t think we are indicating that they can’t. I think what we are indicating is what we can see for the next three years. So that specifically answer of your question, I think we are not trying to put a limit on where operating margins can go, but it is a function of time, I mean recognize that our guidance that we just gave for 2014 over the first year of the three year plan is that at a certain operating margin rate of 4.5% or slightly less. So to think that we can move the needle by more than 150 or 200 basis points and would end up being a two year period with ‘15 and ‘16, we think that's a little aggressive for where we are at this point. Again, if we get suppliers to the upside and we can knock out a couple of years, at better than a low single-digit comp, good for us and that auto translate to more leverage. But in terms of how we're strategizing and planning the business right now coming off of eight quarters in a row negative comps we think moving into this in expectation of the low single-digit comp is more appropriate for where we are today.
Dan Wewer - Raymond James: All right. And the second question I had recognize the earnings pressure you alluded to in the first half of 2014, but to achieve the annual guidance that would assume back-loaded earnings model this year. What do you see that makes you confident that we'll begin to see that kind of profit recovery starting in 3Q?
Tim Johnson: Two or three things, I think you start with the top line. I think clearly with our expectation for Q1 comps versus total year as we mentioned it's an accelerating comp throughout the year. I will (inaudible) it back and tell you the cooler and freezer rollout started towards the end of the January it will last through the summer months that should only build comps as the year goes on. The furniture financing rollout in a more robust way will start late in the first quarter towards second and should only build comps as the year goes on. And third and maybe most importantly, the elements that David and the merchants are working on to improve the more discretionary categories in the store in the quality and the fashion and the value in those categories that David mentioned should only help as the year goes on. So comps and top line are a big, big part of that. Candidly getting into the second half of the year and getting passed the impact of the edit to amplify strategy, not just on margins but on store level waver should only help the profit recovery as the year goes on. And then from an expense standpoint, again not just in stores, but also in some of the roll out activity with our WMS systems in distribution and transportation which are primarily focused in the front half of the year, the expense performance should only improve as the year goes on. So there are certainly unique things happening here in the front part of the year that will be complete as we go into back half of the year.
Dan Wewer - Raymond James: And just David, the last question I had, looking the other side of the share buyback that $125 million will consume most of your free cash flow this year, David I was curious as the Board said perhaps we should just dramatically increase our CapEx budget, revamp the stores at a much faster rate to become more competitive and that might give you a longer-term benefit than buying back stock?
David Campisi: That conversation didn’t take place at all this week, it was completely the opposite. And candidly TJ and his team did a lot of work on that and represented that to the Board and they were a 100% behind that buyback. And there was never any conversation about increasing the CapEx. I don’t know if you want to add to that TJ?
Tim Johnson: No, I think that capitalizes it. I think again internally and externally with advisors outside the company, we got very comfortable with the repurchase program well within our cash flow expectations for this year. I think we are investing in stores and for the future in some of the initiatives that we mentioned. So I think the Board got very comfortable with not only the repurchase efforts but also the overall plan for this year.
Dan Wewer - Raymond James: Great, thank you. And good luck.
Tim Johnson: Thanks.
David Campisi: Thanks.
Operator: I’ll take Brad Thomas with KeyBanc Capital Markets.
Brad Thomas - KeyBanc Capital Markets: Thanks, good morning. Just wanted to follow-up about the overall outlook for same-store sales; it’s clear you have a couple of exciting drivers to look forward to here. But just looking at the other side of the coin, could you maybe just help us think about perhaps any categories that you are deemphasizing that -- and could that be a potential drag for you in any categories that the company may struggle with a little bit more this year, just so we maybe get a better picture of how you are thinking about that balance?
David Campisi: Sure Brad. I’ll answer that by telling you that if you recall from the last earnings call, we took a position in Q4 to take a lot of mark downs in those exit categories that we mentioned. And we actually were very pleased with the wind down on an inventory. We still have this first half to go to completely make it go away. But I would tell you that we know what the number is and it’s built into the financial plan, and merchants know what they have to achieve to offset existing things that I’ve mentioned before like the plumbing categories and parts of electronics, TVs, the downtrend in tablets, the apparel, hanging apparel business. We believe that our company can accelerate things like the sock business, and the lingerie business has been very, very strong. But then those categories, there are things that need to go away, paint. Again, those are the businesses that we’ve reduced. And we feel very comfortable with that exit strategy and the number that we can offset by growing. Candidly the one area we continue to talk about in the company, if I really look at historical numbers over the last eight years, the home business; it’s the area that owes the company the largest sales increase while at the same time we have such a strong team in food today and consumables and the growth you are seeing in those categories like pet and paper and really of that. We are getting some brands in the health and beauty aid area that that buyer in there is doing a fantastic job of getting brands that we were not able to acquire prior to that. And it’s worth to mention to all of you guys that Rich Chene has come in as the Chief Merchant, he’s brought in a lot of other disciplines on top of the ones I’ve talked a lot about, the edit to amplify, and the [QBFD] and ECRS were things I brought to the company but Rich is very disciplined on the vendor relation side of the business, what he calls smart goals. And the buyers, I just was with that whole group a couple days ago, are just absolutely energized because of how we go to market today versus how we went to market before, and how we work with the big guys is just -- it’s a complete 180 from where we work. And it’s exciting. So I want you guys to understand we are starting to make real progress and we will clearly offset these exit strategies and continue to drive home the categories that we win in, categories that are ownable and categories and classifications that Jennifer wants and expects from us.
Brad Thomas - KeyBanc Capital Markets: Very helpful, thank you, Dave.
David Campisi: Sure, thank you.
Operator: Your final question comes from Dutch Fox with FBR Capital.
Dutch Fox - FBR Capital: Hey, good morning. Congratulations on a good quarter. It looks like the turnout is definitely underway. I have got two questions. First off, there has been a lot of talk about comp this morning. There is ton of moving parts. Your guidance for FY14, can you give just a little bit more color or detail on the components of comp, how you get to them, are you looking for more store visits, better conversion, improvement in ticket, improvement in transaction numbers or units per transaction, that’s my first question? Secondly, you’ve talked previously about adding talent to different areas of the organization, and specifically what I wanted to ask about is, you talked about adding to your merchant organization obviously the top-end, but also some kind of the worker be, and also at the management, the store level management in particular. Can you comment about where you are in that process and when you expect to see those organizations, the headcount and staffing where you really want them to be? Thank you.
Tim Johnson: Dutch, this is TJ, I’ll take the first piece. The answer to your question on the comps and the compliments, yes I mean we have strategies in place to work on all elements of the comp, we are not going to forecast out transactions versus ticket, versus average item retail versus unit. But I am comfortable in saying; we have strategies in place at the company level, but also within categories to try to drive each of those levers. If you think about coolers and freezers that’s an example. Clearly there is a unit play there; clearly there is a customer traffic play there, conversion play there. If you think about furniture financing, again that’s a big ticket product, that’s more of a basket play, so to speak. So I am not trying to minimize the question, I am just trying to suggest to you that we absolutely monitor all of those metrics on a daily basis, by store, by area of the country et cetera. And we believe we’ve got strategies not just in ‘14, but longer term to try to make progress on all of them. And then I will refer to David on the second question in terms of personnel progress in merchandising and stores.
David Campisi: Yes Dutch, this is David. So, I hope I understood your question, I'll start with the corporate office and start with merchandising. We have the organization in place, we have the CMO, Rich and three general merchandise managers underneath and in place. And we are just about ready to fill the [final] divisional merchandise manager role in the harm and make some other organizational changes in there to fill another open position very soon. So that area is buttoned up big time and really, really starting the harm. As you move into the marketing area, as you all know, we brought in Andy Stein, hopefully if you guys haven't seen the Hostess, the two viral videos that went out, you really need to go into the Big Lots. All you need to do is Google post as Big Lots and those two viral videos that Andy brought to the table and his team. This is fantastic stuff. So we got Andy in place as our Chief Customer Officer. He has got two strong vice presidents in there and he is building out the e-commerce team. We are in search of a VP of e-commerce, and we're very close. That's an area where we have added a pretty high level of headcount as well. And then the stores piece, the third leg of this [tool], obviously very critical. Candidly Lisa and I had a great interview yesterday and we got a few more guys to talk to, to fill that major role and then we’ll have that senior vice president in place here shortly. And Lisa, as you know, our Chief Operating Officer, stores organization reports up to her and she is very, very engaged with our seven regional vice presidents out there, a very strong team. They know as well as I do, they all carry a card with them that has a list of eight things what leaders do, and the very first thing on that, and this is important [aspect], you understand how we think in our company today. Great leaders relentlessly upgrade their team using every encounter as an opportunity to evaluate, coach and build self confidence. It’s a different mindset that we have; the stores are completely focused on Jennifer. But at the same time, we have to continuously and relentlessly upgrade our teams and that’s an ongoing and always will be an ongoing process.
Dutch Fox - FBR Capital: Great, thank you very much.
Tim Johnson: I hope that answers? Okay. Thank you.
Dutch Fox - FBR Capital: Yes, it does. Thank you.
Andy Regrut: Okay. Thank you everyone. That concludes today’s call.